Presentation: 
Operator:  Greetings and welcome to the Par Pacific Holdings Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host Christine Thorp, Director of Investor Relations. Please go ahead. 
Christine Thorp:  Thank you, Operator. Welcome, everyone, to Par Pacific Holdings’ fourth quarter and full-year 2015 earnings conference call. With me today is William Pate, President and Chief Executive Officer, Chris Micklas, Chief Financial Officer, Joseph Israel, President and Chief Executive Officer of Par Petroleum, LLC and Will Monteleone, Senior Vice-President of Mergers and Acquisitions. Before we begin this discussion, please note that some of the statements we make during this call may contain forecasts, expectations, estimates and projections. These are forward-looking statements that involve significant risks and uncertainties, which could cause actual results to differ materially from the results discussed in these forward-looking statements. Because of these risks and uncertainties, investors should not place undue reliance on forward-looking statements, which are effective only as of today’s date. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. Information about the risks and uncertainties we face can be found in our Form 10-K and other documents filed with the Securities and Exchange Commission. Today’s call is being recorded and will be available on the Investor Relations section of the website. Now let me turn the call over to Bill. 
Bill Pate:  Thank you Christine. And thank you for joining us this morning. 2015 was a terrific year for Par Pacific with strong financial and operating performance. Chris will go into the financials in more detail, but we are very pleased with our fourth quarter results despite pressure on our crack spreads, which ended the year below mid-cycle levels. Joseph and Will will cover the operating performance in Hawaii and Laramie, respectively. Before they cover the operating results, I would like to touch on our 2015 strategic actions. In April, we closed the Mid Pac acquisition, which dramatically changed the profile of our Hawaiian operations. The impact is most noticeable with the recast of our operating segments for financial reporting. Profits are broken out for the first time among refining, retail and logistics. With the acquisition of the Tesoro operations, we had a decent business, but one in which it was difficult to increase our throughput. With the Mid Pac acquisition, we have a more internally balanced operation that allows us to operate our refinery at higher throughput and therefore lower unit costs. As a result, in 2015 we had $97 million in Adjusted EBITDA in refining, $33 million in retail, and $29 million in logistics. We also agreed in December to make an additional $55 million investment in Laramie Energy to support their purchase of largely contiguous acreage with significant natural gas production and drilling inventory. We believe this purchase will prove as transformative to Laramie as Mid Pac was to our Hawaiian operation. We think we acquired existing production at a great price, and the economies of scale and our ability to reduce field costs should also change our going forward drilling economics. Finally, we enter 2016 with a great balance sheet. We are in a net cash position due to the registered direct offering that we completed in October. Later in the fourth quarter we completed a refinancing of our retail secured credit facilities, pushing out any material debt maturities for several years. We will use some of our cash in the Laramie investment early in March. Nonetheless, we are well-positioned to pursue additional opportunities in the energy and infrastructure sectors, which are emerging rapidly in this volatile environment. At this time, I would like to turn the floor over to Joseph who will provide more detailed perspective on our Hawaiian refining, retail and logistics business. 
Joseph Israel:  Thanks Bill and good morning everyone. Before digging down to operations results, I would like to thank and congratulate Par employees for outstanding 2015 execution. We are especially proud of our 2015 safety record across the board, including our 0.26 Total Recordable Injury Rate in the refinery and zero for our Logisitics group. Our Refining segment adjusted EBITDA in the fourth quarter was $23 million. Combined 4-1-2-1 crack spread and mid pacific crude differential index in the fourth quarter was $8.25/Bbl, approximately 25 cents per barrel below the mid cycle environment. The weak index was mainly driven by low jet fuel crack spreads, basically at a five year low, and continued global weakness for diesel. However, our improved 62 MBD On-island sales, combined with high margin exports of mixed aromatics to Asia and optimized crude differentials, allowed us to outperform market conditions with realized adjusted refining margin of $6.05 per Bbl. On the feedstock side, we continue to benefit from the oversupplied market, and contango market structure. In the fourth quarter we continued to build our crude oil flexibility by running new grades and optimizing transportation. In 2015, we optimized our business and improved our capture rate. Our adjusted refining margin for the year was $6.82 per barrel, $3.45 per barrel stronger than our 2014 realized margin, while the combined index gave us only an additional $1.66 per barrel to work with. So far, in the first quarter, the combined index has averaged approximately $7.00 per barrel. However, the global octane shortage and the gasoline blending dynamics in Asia continue to present mixed aromatics opportunities for Par. Overall, we continue to benefit from our improved capture rate, and mitigate market conditions in the first quarter of 2016. Our strong 99.9% mechanical availability for the quarter and 98.7% for the year has allowed us to optimize our assets and execute our operations plan. Our refinery throughput in the fourth quarter was 80 MBD, consistent with our guidance, and our average 2015 refinery throughput was 77 MBD, 13% higher than our 2014 average throughput. Our planned throughput for the first quarter is approximately 75 MBD. Our production costs in the fourth quarter of 2015 was $3.51 per barrel and for the full year, our production cost averaged $3.54 per barrel, 25% under our 2014 average production cost. This reduction implies $30 million of annual cost savings, $8 million attributed to lower steam and electricity cost, and $22 million or 75 cents per barrel of improved efficiency through higher refinery throughput and other self-help improvements. Our refinery turnaround is scheduled to start in the second week of July with an estimated 30 days oil to oil. Scope includes the execution of routine maintenance, including hydrocracker catalyst change, as well as regulatory consent decree works. Our retail segment adjusted EBITDA in the fourth quarter was $7 million. Year over year, gasoline volume and merchandise sales are up 2% and 10%, respectively, on same store basis. Following our successful integration with Mid Pac, we are achieving our profitability objectives – Annual $15 million EBITDA contribution to our retail segment and additional $15 million to our refining and logistics segments, under mid cycle conditions. Running an integrated, difficult to replicate network of logistics assets, has been a primary key to our success, in the niche market of Hawaii. Starting this quarter, we are reporting our logistics related financial performance as a separate segment. Activities in this segment include feedstock receipt to our Single Point Mooring facility and shipments to the refinery, as well as refined products movement through our pipelines and eight terminals system, including trucking, barging and storage activities. Profitability for this new segment is mostly driven by inter-company activities. Our Logistics segment adjusted EBITDA in the fourth quarter was $6 million. In summary, we are very excited with our progress in 2015. We have benefited in the first half from favorable market conditions, but most importantly, we have diversified our system by growing our retail footprint and improved our profitability profile as a company to better capture future opportunities. In addition, we are well positioned to grow and duplicate our business model in different places. And now, I’ll turn the call over to Will to review Laramie operations and results. 
Will Monteleone:  Thank you Joseph. As Bill referenced, Laramie is actively consolidating assets in this opportunity rich environment and building a first rate asset base during this down cycle. The Laramie story and the overall economics in the Piceance basin continue to fundamentally improve for the company. A few data points on this front: 1) The Laramie team has driven down drilling and completion costs from $1.8 MM / well in 2012 to $1.4 MM in late 2014 to just over $1 MM as of year-end 2015. The vast majority of these reductions are driven by structural efficiencies rather than simply service cost reductions. Simultaneously, EURs are holding steady or improving and currently average between 1.6 – 1.8 BCFE per well. Ample takeaway capacity and robust market demand on the West Coast and Mexico provide attractive demand dynamics. The previously announced acquisition of additional properties in the Piceance basin is expected to close this week and the work there is just beginning as far as reducing costs and extracting material synergies. As Bill mentioned, Par Pacific is investing an additional $55 MM of capital and increasing its ownership stake in Laramie Energy from approximately 32% to approximately 42%. The major merits of the transaction are the cost reductions available through the combination that allow for more efficient base operations and projected improved returns on incremental capital deployed. Laramie’s Lease Operating Expenses during 2015 averaged roughly $0.56 / Mcfe while the acquired properties were around $0.73 / Mcfe. This is a primary example of a great opportunity to right size the cost structure of the acquired properties, a task well-suited to the Laramie team given their realized efficiencies in the current asset to date. Year-end exit production was 56.8 MMCFED up from 46.3 MMCFED at September 30, 2015. Laramie drilled 18 wells and completed 14 wells during the quarter and further built the Drilled but Uncompleted backlog to 64 wells as of year-end. In addition, the $15 MM water infrastructure capital project came on line in early February and is now treating and storing produced and flow-back water for recycling. This project positions Laramie to further reduce total field operating costs through water handling cost reductions and efficiently run a large scale drilling program. At this juncture Laramie is modifying its 2016 capital plans to reflect the current commodity price environment. Laramie laid down its drilling rig in December and has ceased completions. As a reminder, there are 58 wells on 3 pads in inventory that can be brought online quickly if economics support the investment. Pro forma for the closing of the pending acquisition, 2016 exit production is expected to be between 130-140 MMCFED which reflects modest completion activity in the back half of the year of $10-$20 MM. Post-acquisition, Laramie expects to be net cash flow positive during the remainder of 2016 and has the flexibility to accelerate completion activities and grow production rapidly or alternatively pay down additional debt with cash flow from operations. The final 2016 Laramie capital plans will be set at a minimum quarterly and will be based on then prevailing commodity market dynamics. The Laramie balance sheet post transaction is strong and the Debt / EBITDA profile at year end 2016 is expected to be between 3 – 3.50x depending upon the ultimate level of completion activity. The debt balance pro forma for the closing of the acquisition will be approximately $129 MM. As a reminder Laramie hedged approximately 90% of projected, existing gas production through December 2018 at $2.34 / MMBTU which provides certainty in these markets. During the quarter Par Pacific recorded a non-cash impairment to our equity investment in Laramie of $41 million. This charge reflects the equity valuation implied by the pending $55 MM investment to facilitate a highly accretive transaction to Par Pacific’s stake. The carrying value on the balance sheet now reflects the recent valuation set by the investment. The capital plan outlined previously demonstrates both the operational and financial flexibility captive inside Laramie, which provides great value to its shareholders. This flexibility affords Laramie the ability to make capital allocation decisions based on economics alone, rather than sunk costs or capital structure, factors that differentiate Laramie from its peers. Laramie is appropriately capitalized for the current market and has the runway to not just to survive this down-cycle but thrive as a consolidator. I will now turn the call over to Chris to review our financial results. 
Chris Micklas:  Thank you, Will. During the fourth quarter, Par Pacific reported its fifth consecutive positive quarter of Adjusted EBITDA at $23 million dollars and a full year Adjusted EBITDA of $110 million dollars. Adjusted EBITDA includes a one-time non-cash gain of $5 million dollars as a result of eliminating certain employer-sponsored benefit obligations. To provide additional transparency into the drivers of our performance, we are now presenting our results using three primary segments and are reporting Full Year Adjusted EBITDA of $97 million dollars for Refining, $33 million dollars for Retail, and $29 million dollars for Logistics. Bear in mind our results include just 3 quarters of results from MidPac. I would like to highlight three non-cash charges that reduced our net income for the fourth quarter. The first item is our equity loss of $50 million dollars related to Laramie, which has already been addressed by Will. The other two items include timing differences related to the valuation of our inventory and unrealized mark to market losses on derivatives. We continue to see the operational and financial benefits of our supply and offtake agreement with J Aron; however, this agreement creates certain timing differences on a GAAP basis. During the fourth quarter, we had a non-cash charge to earnings of $19 million, which primarily includes a reduction of our inventory to the lower of its cost or net realizable value. We use derivatives to manage the cost of our internally consumed crude, which is a major cost to our refinery. In 2015 we hedged approximately 75 percent of the costs associated with our internally consumed crude through 2017. We also use derivatives to manage the price of crude cargo purchased and inventory levels. The fall in crude prices during the fourth quarter resulted in a mark to market unrealized loss of $6 million dollars. Year to date, we have generated $132 million dollars of cash from operations and, during the fourth quarter, we continued to strengthen and improve our balance sheet. We completed a stock offering raising $76 million dollars and consolidated our Retail financing agreements into one facility using a portion of the proceeds to repay $35 million dollars of our Term loan that was scheduled to mature in March 2016. Our year end cash balance totaled 168 million dollars, total debt was 165 million dollars and total liquidity was 229 million dollars. Currently, our total liquidity is $175 million dollars. The reduction from year end is a result of pre-funding our $55 million dollar contribution to Laramie and reduced activity in Texadian, partially offset by a $23 million dollar increase in the availability of our J Aron deferred payment arrangement. With regards to Texadian, we responded to market conditions by consolidating activities in Houston and we allowed our credit facility to lapse. The expiration of the credit facility reduced our year-end liquidity by $26 million dollars however freed up access to $18 million dollars. As Joseph mentioned, during 2017, we will be executing a plant turnaround at the refinery which will require cash expenditures of $30 to 35 million dollars. Additionally, we are performing maintenance projects on logistics assets which we expect will have a $5 to 10 million dollar impact on Adjusted EBITDA.  Now, I will turn the call back to Bill for his closing comments. 
Bill Pate:  Thank you. Operator, that concludes our prepared remarks. Would you check for any questions at this time.
Operator: [Operator Instructions] our first question today is coming from Scott Levine from Imperial Capital. Please proceed with your question.
Scott Levine:
Joseph Israel:
Scott Levine:
Bill Pate:
Scott Levine:
Bill Pate:
Joseph Israel:
Scott Levine:
Joseph Israel:
Scott Levine:
Operator: Thank you. Our next question is coming from Thomas Mitchell from Miller Tabak. Please proceed with your question.
Thomas Mitchell:
Bill Pate:
Thomas Mitchell:
Chris Micklas:
Thomas Mitchell:
Joseph Israel:
Thomas Mitchell:
Bill Pate:
Operator: Thank you. Our next question is coming from Doug Leggate from Bank of America Merrill Lynch. Please proceed with your question.
Doug Leggate:
Bill Pate:
Doug Leggate:
Bill Pate:
Doug Leggate:
Joseph Israel:
Doug Leggate:
Operator: Thank you. [Operator Instructions] our next question is coming from Andrew Shapiro from Lawndale Capital Management. Please proceed with your question.
Andrew Shapiro:
Will Monteleone:
Andrew Shapiro:
Will Monteleone:
Andrew Shapiro:
Joseph Israel:
Andrew Shapiro:
Operator: Thank you. Our next question is coming from Mike Harrison from Seaport Global Securities. Please proceed with your question.
Mike Harrison:
Joseph Israel:
Mike Harrison:
Joseph Israel:
Mike Harrison:
Joseph Israel:
Mike Harrison:
Chris Micklas:
Bill Pate:
Mike Harrison:
Operator: Thank you. We have one more question at this time from Andrew Shapiro with a follow-up from Lawndale Capital Management. Please proceed with your question.
Andrew Shapiro:
Will Monteleone:
Andrew Shapiro:
Joseph Israel:
Will Monteleone:
Andrew Shapiro:
Chris Micklas:
Andrew Shapiro:
Chris Micklas:
Bill Pate:
Andrew Shapiro:
Chris Micklas:
Andrew Shapiro:
Joseph Israel:
Andrew Shapiro:
Operator: Thanks. Our next question is coming from David Neuhauser from Livermore Partners. Please proceed with your question.
David Neuhauser:
Bill Pate:
David Neuhauser:
Bill Pate:
David Neuhauser:
Bill Pate:
David Neuhauser:
Operator: Thank you. We've reached end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Bill Pate: Thank you, operator. Thank you, everyone for joining us today. We're delighted to conclude a successful 2015. We're really looking forward to a successful 2016. Have a good day.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.